Operator: Good afternoon. Welcome to the First Quarter Hawaiian Electric Industries Inc. Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Cliff Chen, Treasurer and Manager of Investor Relations. Please go ahead.
Cliff Chen: Thank you, Phil and welcome everyone to Hawaiian Electric Industries' first quarter 2017 earnings conference call. Joining me this morning are Connie Lau, HEI President and Chief Executive Officer and Chairman of the Boards of Hawaiian Electric Company and American Savings Bank; Greg Hazelton, HEI Executive Vice President and Chief Financial Officer; Alan Oshima, Hawaiian Electric Company President and Chief Executive Officer; and Rich Wacker, American Savings Bank President and Chief Executive Officer as well as other members of Senior Management. Connie, will provide an overview, followed by Greg, who will update you on Hawaii's economy, our results for the fourth quarter and our outlook for the remainder of the year. Then we will conclude with questions-and-answers. In today's presentation, Management will be using non-GAAP financial measures to describe the company's operating performance. Our press release and webcast presentation materials which are posted on HEI's Investor Relations website contain additional disclosures regarding these non-GAAP measures, including reconciliations of these measures to the equivalent GAAP measures. Forward-looking statements will also be made on today's call. Actual results could differ materially from what is described in those statements. Please refer to the cautionary note regarding the forward-looking statements disclosure accompanying the webcast slides which provide additional information on important factors that could cause results to differ. The Company undertakes no obligation to publicly update or revise any forward-looking statements, including EPS guidance, whether as a result of new information, future events or otherwise. I'll now turn the call over to our CEO, Connie Lau.
Constance Lau: Thank you, Cliff and Aloha to everyone. Both our operating company Hawaiian Electric and American Savings Bank delivered the first quarter financial results in line with our full year expectations and the guidance we provided last quarter. At the utility, we continue to be leaders in the transformation to clean energy and are making significant grid upgrades to become more renewable ready and to increase resilience and reliability. As of the first quarter 2017, we achieved an energy portfolio powered by over 26% renewable resources and are expected to exceed the 2020 RPF goal of 30%. At the Bank, we're off to a strong start and had excellent deposit growth increased net interest income and higher net interest margin along with improved operating efficiency. Turning to recent utility development, we are waiting the PUC's decision on our Power Supply Improvement Plans which outlined a detailed 5 year plan charting the near term actions that will provide a foundation to meet 100% renewable goal by 2045. On April 24 Hawaii Electric Light and the consumer advocate filed a stipulated procedural schedule in the Hawaii Electric Light 2016 Test Year Rate Case subject to PUC approval. This includes an evidentiary hearing at the end of July 2017. On April 28, the consumer advocate filed its statement of position and an interim decision is expected in August 2017. In other developments, in April 2017 Hawaiian Electric completed negotiations for the third of 3 utility scale solar facilities on Oahu with NRG Energy which acquired the projects following the bankruptcy of the prior developers last year. The 3 power purchase agreements are subject are subject to PUC approval. The facilities are targeted to come online in 2019 and would get us 3% points closer to our 100% renewable goal on Oahu and that pricing lower than originally contracted with the prior developer. The project's total 109.6 megawatts at a weighted average price of 10.8 cents per kilowatt hour including state tax credit less than the cost of our fossil fuel energy. Hawaiian Electric continues to lead the nation in the adoption of distributed private solar power and to date approximately 16% of all customers have PV system nearly 20 times the national average. In April, the PUC approved Hawaiian Electric's Proposal to transfer to the customer grid supply program, the available capacity from the net energy metering applications that had been submitted prior to the October 2015 cut off but had been subsequently withdrawn or cancelled. This would add approximately 20 megawatts of capacity for customer grid applications which could allow another approximately 2,800 private rooftop solar systems under the customer grid-supply program that replaced or closed retail NEM program. In our efforts to encourage the electrification of transportation in our state, we participated in a highly successful promotional partnership with Nissan North America which made available to our utility customers special rebates on the Nissan lease. This helped local Nissan dealerships to nearly double their sales in the first quarter up from the first quarter in 2016. On April 27, we announced that Nissan was extending its offer for Hawaiian Electric Customers through June 30 of this year. We are working with other auto manufacturers interested in creating similar campaigns. Following the PUC approved partnership, Hawaiian Electric Company and Stem, tested nearly one megawatt of intelligent energy storage system deployed at 29 commercial customer sites on Oahu. The successful operation of this aggregated energy storage marks a major milestone in a first of its kind pilot project showing the ability to connect many customers' energy storage units, with the utility to provide dual value. Savings for participating customers and a better grid operations for the utility. In April, the PUC also approved Hawaiian Electric's Pilot program for customers with special medical needs to apply for a discounted electric range. Up to 2000 customer's dependence on life support equipment or increased heating or cooling due to a medical condition they save up to $20 a month. This program would be effective from April 1, 2017 and run for a two-year trial. And in order to provide more customer solutions, the company began beta testing of its mobile outage application on Oahu and intends to go live later this year with an application after the successful launch of its outage map in the first -- the fourth quarter of 2016. This is all part of the company's plan to provide more customer engagement and option. In recent legislative developments on April 28, Tom Gorak was not confirmed by our Hawaii state Senate as a PU C commissioner. Governor Ige is expected to appoint a new interim commissioner. I'll now ask Greg to cover Hawaii's economy, our financial results and outlook for the company.
Greg Hazelton: Thanks Connie. Hawaii's tourism industry a significant driver of Hawaii's economy continues to grow setting records in both visitor spending and arrivals for the first quarter of the year. Visitor expenditures increased 10.4% and arrivals increased 3.1% compared to the same period last year. The state's 2.7% unemployment rate in March 2017 was lower than the prior year's rate of 3.1% and the national rate of 4.5% in March 2017. Hawaii's real estate market continued to show strength in 2017 is medium sale prices for single family residential homes, and condominiums on Oahu increased 3.5% and 2.6% respectively over the first quarter of 2016. The median sales price for single family homes on Oahu in March was $752,000 up 3.7% from last year. According to the University of Hawaii Economic Research Organizations report dated May 2017. Hawaii's economic outlook remains favorable for continued growth. Although it may be less rapid pace than in recent years, and although construction still remains very active it is begun to taper. As shown on Slide 5, first quarter 2017 GAAP earnings per share was 31 cents compared to 30 cents per share in the first quarter of 2016. Excluding the merger and related LNG contract termination cost, first quarter 2016 core EPS was 33 cents with Q1 consolidated core net income $1 million lower than the prior year. As shown on Slide 6, HEI's GAAP consolidated ROE to the last 12 months was 12.5% primarily due to the merger termination fee. Excluding merger related transaction adjustments HEI's core consolidated ROE was 9.4% with ROE contributions of 7.8% from the utility and 10.4% from the bank. On Slide 7, core utility earnings were $21.5 million in the first quarter of 2017 compared to $26.7 million in the first quarter of 2016. The most significant net income drivers were the $5 million net revenue declined largely due to the expiration of the 2013 settlement agreement which recorded Oahu RMA revenues beginning January 1 for the years 2014 through 2016. The period in which cash reflecting RAM revenues is collected did not change as a result of the settlement agreement and have always been aligned to the June 1 to May 31 periods. And hence the expiration of the 2013 settlement agreement has had no impact on cash collections in 2017. In addition, depreciation expense was higher by $1 million after tax due to increased utility investments for you customer reliability and the integration of more renewable energy. OEM expenses were lower by $1 million after tax as the first quarter of 2016 included higher than expected power supply improvement plan expenses of $2 million after tax, the first quarter of 2017 included additional environmental reserves of $1 million after tax for preexisting issues. Slide 8 shows the utilities GAAP ROE's for the last 12 months ended March 31, 2017. The consolidated utility GAAP ROE was 7.8% excluding merger related transaction adjustments. The consolidated utility core ROE was 7.9% percent. The lag between are allowed ROE of 9.8% and our actual ROE is driven largely by our election to stay out of rate cases for 6 years and our reliance on our decoupling mechanisms. Regarding these mechanisms on April 27 the PUC issued an order related to outstanding items from the 2015 decoupling order. The order requires establishment of specific performance incentive mechanisms related to reliability and customer service. We'll be required to file proposed tariffs for the performance incentive mechanisms and sample calculations within 30 days. The order also provides guidance for interim recovery of costs offset by related benefits for major projects completed in between general rate cases through a major project in term recovery mechanism. In addition, it indicated that impending and subsequent rate cases, the PUC intends to require all fuel expenses and purchased energy expenses, be recovered through an appropriately modified energy cost adjustment mechanism rather than through base rates. And we'll consider adopting processes to periodically reset fuel efficiency measures embedded in the energy cost adjustment mechanism to account for changes in the generating system. Our current rates for Oahu, Hawaii Island and to be filed rate case during the summer will do 2 things. At first it will reset our base rates to recover the cost of investments we've been making for reliability and resilience of our grid including the integration of greater amounts of renewable energy. And in addition it will reset the baseline on target revenues for the de coupling mechanism going forward. In general, we should be able to earn closer to our allowed return reducing our ROE lag after adjusting for structural items. We estimate that our year end 2016 actual ROE of 8.1% versus the allowed ROE of 9.8% was reduced by the following approximately 50 basis points of structural items which include non recoverable items such as incentive compensation, advertising, and charitable contributions. Also approximately 110 basis points per item in excess of what is recovered through RAM revenues largely due to higher planned additions and O&M that we have not received recovery of RAM revenues due to the RAM revenue cap limiting annual increases to GDP PI. In addition approximately, 50 basis points of lag due to no return on pension regulatory assets above what was in the last test year rate case from 6 years ago. The company is not been recovering on the full net periodic pension cost, which we've had defined into external trust which is been contributing to this ROE lag. Excluding structural items this creates 160 basis points of ROE lag, which we hope to address in the upcoming rate cases. On Slide 9, at the bank net income for the first quarter of 2017 was $15.8 million, 3.1 hires in the first quarter of 2016 and 0.4 million lower in the fourth or linked quarter. Compared to the first quarter of 2016, the $3.1 million increase was primarily driven by $3 million after tax higher net interest income mainly due to growth in commercial real estate and consumer loan portfolios. As well as the deployment of our strong deposit growth into our investment portfolio. Compared to the linked fourth quarter 2016, the $0.4 million decrease was primarily driven by the following on an after tax basis. $1 million higher net interest income driven by higher yields on our investment portfolio and growth in our consumer portfolio and $1 million lower non-interest expense. These increases were offset by on an after tax basis by $1 million higher provision for loan losses including additional reserves for a commercial real estate relationship in the first quarter of 2017 and $1 million lower non-interest income primarily due to lower mortgage banking income as a result of the reduction in residential mortgage refinancing activity. Turning to Slide 10, American delivered solid profitability metrics in the first quarter. We achieved a return on assets of 98 basis points on track to exceed our 2017 target of 90 basis points. Our net interest margin was 3.68% higher than our guidance range due to overall higher yields on interest earning assets. Overall the bank continues to maintain robust deposit growth, strong capital levels straightforward community banking business model. On Slide 11 our net interest margin of 3.68% in the first quarter of 2017 was 9 basis points higher than the linked quarter. Our interest earnings asset yield increased 8 basis points from the linked quarter primarily due to increases in investment and loan portfolios and our liability cost of 20 basis points decreased by two basis points as we reduced our higher costing borrowing. On Slide 12 total loans as at the quarter ended included growth in the residential and consumer loan portfolios. However, the reduction in our exposure to national credit, a loan payoff connected with the completed construction project and the resolution in payoff of prior and non-performing commercial loan position contributed to 1.2% annualized decline in our loan portfolio for the first quarter of 2017. However, we expect to meet our target of low mid-single digit growth for the year. Our deposit growth has been consistently strong at 9.1% annualized for the first quarter 2017. Our stickier core deposit growth was even higher at 11.4% annualized for this quarter. Low cost deposits have funded our investment growth resulting in higher net interest income. In addition, higher yields on our loans have also contributed to overall higher net interest income of $1.8 million pretax compared to that linked quarter. Non-interest income of $15.1 million was $1.3 million lower than the linked quarter driven primarily by the decline in mortgage banking activity. Overall, as we said last quarter credit quality remains down as a result of prudent risk management capabilities and the healthy local economy. Our residential portfolio remains very clean. Consumer unsecured credit quality is in line with expectations for the year and the commercial and commercial real estate portfolios are stable with improving trends. Provision for loan losses was $2.4 million higher than the linked quarter primarily due to research for commercial real estate for a commercial real estate relationship. Our net charge off ratio was 29 basis points for the first quarter of 2017, 11 basis points lower than the linked or fourth quarter largely due to charge offs of specific commercial credits in the fourth quarter. Net charge offs were above our target range of 18 to 23 basis points due to commercial loan charge offs which are lumpy in nature. Non-accrual loans as a percentage of total loans receivable held for investment decreased to 41.41% compared to 0.49% at the end of the linked quarter. A decline of nearly $4 million, the allowance for loan losses was 1.19% of outstanding loans at $56 million for the quarter end compared to 1.17% at the end of the linked quarter and 1.13% percent as at the prior year end. Slide 14 illustrates Americans continue to attractive asset in funding mix relative to our peer banks. Americans March 31, 2017 balance sheet is compared to the last complete available data set for our peers, which is as of December 31, 2016. 100% of our loan portfolio was funded with low cost core deposits versus the aggregate of our peer banks at 86%. In the first quarter total deposits increased by $126 million or 9.1% annualized, while maintaining a very low cost of funds of 20 basis points. 27 basis points lower than the median for our peers. In the first quarter 2017, American paid $9.4 million in dividends to HEI and American remains well capitalized at March 31 with a leverage ratio of 8.5%, tangible common equity to tangible asset ratio of 7.8% and total capital ratio of 13.6%. Today we are reaffirming HEI's 2017 earnings guidance range of $1.55 to $1.70 per share as there are no changes to the guidance for the utility and bank at this time. Connie, back to you. Connie? I'll complete the summary. In summary, our utilities continue will continue its expansion of our renewable energy portfolio and grid modernization efforts to increase our resilience and reliability while working towards achieving Hawaii's 100% clean energy goal. Our bank will continue to focus on deepening customer relationships to drive balance sheet and income growth. On Wednesday, our Board maintained a quarterly dividend of $0.31 per share continuing our uninterrupted dividend payments since 1901. The dividend yield continues to be attractive at 3.7% as of yesterday's market close. ATI Hawaiian Electric and American Savings Bank will continue to move forward providing long term value for our customers, community, employees and shareholders. And now we look forward to hearing your questions.
Operator: [Operator Instructions] The first question comes from Christopher Turnure from JP Morgan. Please go ahead.
Christopher Turnure: Good morning. Can you give us some color on the situation with the commission who was not approved for his seat? Just kind of what might have went on in the background there and why you think that might have happened? And then remind us whether the commissioner can make decisions with only two members or not?
Alan Oshima: Yes, this is Alan Oshima. I'll start with the last part of the question. Yes, the commissioner can make decisions with two commissioners. I will not speculate as to why the confirmation did not proceed, I know that there was a lot of discussion about it throughout the session and I just can't speculate why certain members voted against and others voted for.
Christopher Turnure: Okay. And then in your opinion do you think that this would impact the timing of the interim rate decision you and – is there anything else that we might be missing there that would impact that at all?
Alan Oshima: We have seen no indication that it would as I said the commission can operate with two signatories, two commissioners. And over the year, two years [indiscernible] has increased staffing at the commission to be able to be more responsive to the large number of applications that have been filed. So we don't see any indication that things would slow down not withstanding right now not knowing who the interim appointment maybe.
Christopher Turnure: Okay. And then Greg you, I think kind of referenced this in your prepared remarks but the impact of the interim decision and kind of parameters that feed into that rate increase versus the final; and maybe you go over those again and just kind of walk us through how those two would differ from a perspective of what you're recording in earnings, besides obviously your opinion of what would happen versus what you're requesting?
Alan Oshima: So we haven't had an internal decision. I think you maybe referring to my discussion of the decoupling order which is relative to the decoupling mechanisms which generally seem to be constructive removing field cost from base rates and putting them through the energy, the ECAC [ph] mechanism that we have which is a very timely update for fuel adjustment. And the mechanism allows for true-up of our generation related cost that are contributed to the calculation of the ECAC [ph] as appropriate. And the mechanism also allowing for recovery of capital expenditures between rate cases in a specific mechanism that would be moved out of the RAM calculation, specifically which as you recall the RAM has a cap on it; so we view that as a constructive order relative to the decoupling mechanisms.
Christopher Turnure: Okay. Now if we just look at the rate cases that are filed right now, the full rate cases and we find out what is going to actually flow into your bottom-line, kind of mid-year or late this year; when the interim rates are effective for that. How can we think about the components of that stepping of earnings versus what would actually be in the final order? I mean are there things that are not eligible for -- being put into interim rates that are eligible for the final rates for example?
Constance Lau: No. Hi, this is Connie. Whatever is in the interim rates, the standard on what can be included or not doesn't depend on whether it's an interim or it's a final, but the difference between an interim or a final is that the interim can be granted on a probable entitlement basis; and so what you will see coming in throughout this year is in August we might expect an interim decision from the commission, that could give us some interim rate assuming that there is probable entitlement, and that would be for Hawaiian Electric Light, which of course as you know is one of the smaller utilities on the big island. And then for our large utility on Oahu, that interim would be expected very late in the year in the December timeframe.
Christopher Turnure: Okay, that's kind of what I expected. In the past, the practice of the commission has been to grant you pretty -- I guess healthy confirmed step versus your overall rate and I'm assuming you would book a rate there at the interim level that is your -- whatever you've been granted in the interim rate opposed to your estimate of what the final outcome would be because it's all eligible to be trued up in the end?
Constance Lau: Yes, that's correct. If we receive an interim increase, we would start looking at that interim rate. As you know, it's been quite a while since we've had a rate case or an interim decision, so this is a new commission.
Christopher Turnure: Perfect, thank you.
Operator: Our next question comes from Charles Fishman from Morningstar. Please go ahead.
Charles Fishman: Thank you. Greg, just [indiscernible]. I mean, I'm going back to your prepared comments; you have roughly 200 basis points of lag, and if I understood you correctly, what we're saying is the 160 basis points are structural and that implies -- that your target is to reduce that 160 basis points through this process as much as you can; you'll probably already -- always have 40 basis points just because of the expenses that can't get allocated or whatever, charitable deductions, things like that or charitable contributions, rather things like that. Is that the correct way to look at that in your comments?
Greg Hazelton: Yes. We used a little bit different terminology, we considered the structural as those items that are unlikely to be recovered and haven't traditionally been recovered in a rate case process, the disallowance is a charitable contributions and advertising costs for instance, so we consider those as structural items.
Charles Fishman: And that's 40 basis points?
Greg Hazelton: Yes. In aggregate for 2016 we reconcile that as 50 basis points of structural items, meaning that a real opportunity for ROE is had we fully performed, had we not had other lag items, would have been a 9.3%. So that was our opportunity. And then the items -- the other items we expect to address during the rate case such as increased O&M and plant additions that were above the ramp cap. I did mention the pension contributions that we've had to make that -- our pension -- net periodic pension costs are set in a rate case six years ago; and consequently we're under-collecting for those in this interest rate environment and we've had to make contributions [ph] externally, so that's been invested capital into an external trust which were not earning a return on; and that should also be addressed through this rate case. And that in total we had estimated for -- as we reconcile 2016, about 160 basis points of ROE lag that can't be addressed through the rate case. In 2016 we had some benefits on the other side as well, we had interest rate savings on debt that was refinanced at lower interest costs, so we had some offsets which will also be addressed during the rate case.
Charles Fishman: But the goal -- okay, the goal then is to -- management's target, your target would be to get to a 9.3% consolidated utility ROE by whenever?
Greg Hazelton: Yes, that would be the -- again, that's predicated on a couple of things. The allowed ROE will also be addressed in the rate case. So we're currently at 10% which is a weighted average across the three utilities. So -- I'm sorry, we're at 9.8% across the three utilities on a weighted average basis; that will be reevaluated as part of the cost of capital process in the general rate case. So that will establish the cap, you know, the allowed; and then you have -- deduct the structural items which are the disallowances and that will set our opportunity to earn. The other elements there assuming that we get a full recovery of our revenue requirements through the general rate cases, we would have the ability to earn upto that. So for 2016 that would have been 9.3%. In any event we anticipate through the rate case process, getting closer to or allowed ROE.
Charles Fishman: Okay. Thanks for going over that again, Greg.
Greg Hazelton: Okay.
Charles Fishman: That's really all I had. Thank you.
Greg Hazelton: Great, thank you.
Operator: [Operator Instructions] Our next question comes from David Frank of Corso Capital Management. Please go ahead.
David Frank: Good morning. Question, I think you just answered it but could you tell me what the earned ROE range is assumed in your utility guidance for this year of 1.17 to 1.27? Is it -- did I guess it's around 7.6%?
Greg Hazelton: Well, we haven't actually provided specific guidance on that; you could back into it using our EPS for the use but we haven't -- we are -- we did report our -- for the first quarter at 7.8% and the one thing affecting our actual ROE for 2017 is the impact of the RAM revenue recognition issue which will continue on into next quarter as well. And I think we've provided some detail on that in the supplemental slides and for the annual impact; so we anticipated that the RAM mechanism adjustment this year would result in a loss of -- on a pretax basis of $25 million in revenues, that's a net number and that's shown on slide 22 in our appendix slides and that would be $14 million after-tax, nearly $0.14 EPS. So that will impact our achieved ROE for 2017 which we expect would be in the 7% to mid 7% range.
Constance Lau: I might also call your attention to slide 23 which we had put together to be helpful in understanding when interim rate increases might come in relative to when RAM mechanism would operate.
David Frank: Great. And just a quick question on that sort of 50 basis points of earnings -- under earnings due to charitable contributions and other items; I mean -- maybe I misunderstood this, that's very charitable of you but is there a scenario upon which you don't -- are not required to spend that non-deductible money and could actually boost your ROE by 50 bps if you so choose to?
Constance Lau: That's correct but those are discretionary contributions on our part just as they are for most corporations. We believe that it's very important for us to take a leadership role, not only in our business community but across our communities, and in Hawaii where we are island community, so it's quite important that all businesses support the community.
David Frank: Great, thank you very much.
Operator: Our next question comes from Jackie Boland from KBW. Please go ahead.
Unidentified Analyst: This is actually Shalice [ph] on for Jackie. I just have a couple of questions for Rich. Was that mortgage banking income driven by a seasonal slowdown or were there MSR market impacting the line item?
Richard Wacker: No, the decline was mostly contraction -- the decline year-over-year is mostly margin rates on the gain on sale, so volume was about the same on the sales and mortgages. The decline sequentially was principally from sort of seasonal decline in the market and the refinances really shrinking based on rates ticking up.
Unidentified Analyst: Okay. And you agree deposit growth in the quarter -- were there any key drivers for this?
Richard Wacker: Just great execution by our team.
Unidentified Analyst: Okay, that's fair.
Richard Wacker: Yes, it's been something we've been focused on for quite a while and I think you've seen pretty sustained good performance on that and it's accelerated recently. That gave us the chance as Greg mentioned to bump things into the investment portfolio with really good timing last quarter, so we've got nice rates on what we were able to add to the portfolio, so that's going to help NIMs as we go through the year.
Unidentified Analyst: Okay. And then with that are you seeing any pressure with the March rate increase on deposit costs at all in the -- just from your customers?
Richard Wacker: So far we're good. I think you see that most of our growth has been in core deposits, the vast majority of core deposits and operating fund; so far so good.
Unidentified Analyst: Okay. And then just last quick one, the premium amortization changes between 4Q and 1Q drive any of the expansion in the security yields?
Richard Wacker: Yes, it was a big contributor. So we were up nine, quarter-over-quarter eight of it was NIM, we got about three of improvement in the rate on the portfolio between investments and loans. And then that was offset by some difference in the unusuals and loan fees and stuff between the quarter. So a big help; and that's the wild card in future quarters as where those -- where the rates are and what happens to the as many line.
Unidentified Analyst: Okay, great. That's all I have. Thank you.
Richard Wacker: Okay.
Operator: [Operator Instructions] Okay, this concludes our question-and-answer session. I would like to turn the conference back over to Cliff Chen for any closing remarks.
Cliff Chen: Thank you, Phil. And we thank every participant on the call and [indiscernible].